Aaron McParlan: Greetings and welcome to Opera's Fourth Quarter and Full Year 2018 Earnings Call. Together with me today I have our CFO, Mr. Frode Jacobsen, and our COO, Mr. Lin Song, who will cover our prepared remarks and answer any questions. Before we begin I refer you to our Safe Harbor statement in the Company's earnings release, which also applies to our conference call today, as management will be making forward-looking statements. Our commentary today will also include - non-IFRS financial measures. We believe that the use of these non-IFRS financial measures provides an additional tool for investors to use in evaluating ongoing operating results and trends. These measures should not be considered in isolation or as a substitute for financial information prepared in accordance with IFRS. Reconciliations between IFRS and non-IFRS metrics for reported results can be found in our press release, a copy of which can be found on our Investor Relations website. It is now my pleasure to turn the conference over to our CFO, Mr. Frode Jacobsen.
Frode Jacobsen: Thank you, Aaron, and good morning, afternoon and evening to all of you having joined us on this call. We're re excited to present to you the strongest quarter we have ever had and, as a result, a record year as well. Our growth and profit trajectory has been validated now through four consecutive quarters that each improved over the previous, resulting in strong top and bottom line annual results that we are indeed very proud of. In terms of financial performance, we believe that we are more focused than many companies on our bottom line measured in adjusted net income. It captures every aspect of our ongoing business from revenue performance and cash based expenses to the periodic cost of our operational assets and all the way down to our currency exposure and tax planning. We are extremely proud to report an increase in our annual adjusted net income of 159% from $17.8 million in 2017 to $46.1 million in 2018. Adjusted net income is represented 26.8% of revenue in 2018, essentially moving half the way from the comparable 13.8% margin in 2017 towards the midpoint of our target operating model, which is 35% to 45%, in just one year. Adjusted EBITDA saw the same margin improvement in terms of covering about half the distance from where we were in 2017 towards our target operating model. We ended 2018 with $65.8 million in adjusted EBITDA or a 38.2% margin, which was a near doubling of the $34.1 million we had in 2017. These profitability improvements are fueled primarily by the impact of strong revenue growth to our scalable business model. We achieved $172.3 million of revenue in 2018, which was up 33.7% from last year. All our revenue categories grew in 2018, including advertising revenue which grew 45.9% year-over-year, and search which grew 17.6% year-over-year. We're very pleased to have demonstrated how well this revenue growth impacted our profitability in 2018 and supported by a relatively stable overall cost base. I'll dive deeper into the financial results of our fourth quarter a bit later on this call, but I'd like to summarize the key Q4 highlights as part of my introduction. Q4 revenue reached $50.2 million, up 29.2% compared to the fourth quarter of 2017, and crossing a major milestone by exceeding $50 million for the first time. This led to record adjusted EBITDA of $17.5 million in the quarter, up 93.6% compared to the $8.5 million of adjusted EBITDA of 4Q 2017. Finally, fourth quarter adjusted net income came in at a record $13 million. Also worth noting is that during the quarter Opera repurchased nearly 729,000 ADS under the share repurchase program that was announced in November. I will now hand it over to Song Lin to cover some of our operational highlights.
Lin Song: Sure. Thank you for that and hi, everyone. So again, welcome to our conference call and really appreciate your participation and interest in following our company. So Frode has shared some of our strong financial results. Instead I will focus on our products and user growth. Again, we are very pleased about the user growth; in particular we have now reached $208 million average active smartphone users in Q4. They are all Opera branded. This is a key milestone in the history of Opera to exceed 200 million smartphone users. We have also reached 60.9 million average PC MAUs. It's again the highest ever for the Company and combined this user growth has fueled our revenue growth in the fourth quarter. For our strategic product, Opera News, the AI-based content platform, we have now recorded quarterly average monthly active users of 144.1 million. This is up 12.7 million from Q3 and up more than 60 million if you look at end of last year. Within this total our independent news app has recorded 19.5 million average MAUs in the quarter and it has surpassed 23 million MAU in December, just within one year from its launch. We are very excited about the strong user growth in Opera News. On top of this, perhaps even more important, we have seen even stronger engagement and retention metrics for the Opera News product in our key regions and that's why we are now setting up local new offices in South Africa, Kenya, Nigeria, expanding also into other parts of Africa, India, Indonesia to further power that growth. Video is also becoming popular across our key regions. We are also pleased to announce the launch of our short video services, Instaclips, within the news clients. It will also soon to be available in our browser as well. This is an interest-based short video service providing fun and engaging video content to end-users. We have already seen it used by more than half of our user base that have the app versions and in many places we saw that it has effectively almost doubled the time spent. For instance, in Nigeria, if we see the latest version, the data user time spent has surpassed 40 minutes which we are very pleased about. Now coming back to the browser. We find ourselves in a sweet spot where we are now growing fast not only in emerging markets but also growing a lot in high app markets such as Europe. Well over 60 million MAUs for Opera PC is a good testament of this trend with the majority of the user base in Europe. We think it's a result of our investment in the products with a focus on differentiated features that people truly appreciate such as security, privacy, as well as a streamlined experience. That makes Opera a great browser for everyday tasks such as e-commerce. In Q4 we have also started to enable AI-based new distribution inside the PC browser in selected countries, as well as content such as Netflix radio recommendations among others. All in all we find ourselves in a position that carries with it an abundance of opportunities. We truly feel compelled to aggressively go after these as we believe that we are uniquely positioned with the right products the financial strength and the partners that combined should allow us to scale even faster than our current trajectory. We will jointly work with our various partners, such as all the major OEMs, as well as industrial players like Google, to further expand our browser presence in Europe both on mobile and on PC. Today we will share with you in a bit more detail the potential we see to accelerate the growth in both Opera News and our browsers and Frode will address when we talk through our outlook for 2019. So to sum up, we are well on our way to establish ourselves as the leading player in AI-based content distribution both inside the browser but also with our dedicated news clients. We have established ourselves as a leading player in Africa as well as Indonesia and now with a new focus on Europe. We feel we are well on our way towards this goal and we hope you share the same passion with us. So I will hand it back over to Frode for the final details of our earnings results and also our guidance for 2019.
Frode Jacobsen: Great, thank you, Song. Let me now turn back to our fourth-quarter financial results in more detail. As I mentioned, Opera had record revenue in the quarter reaching $50.2 million. Search revenue represented 42% of the total or $21.1 million, up 4.9% year-over-year and 10.2% on a sequential basis from the third quarter. On a constant currency basis we estimate search would have increased 8.8% year-over-year and 11.3% on a sequential basis. Our annual improvement is a result of our increase in browser MAUs with a relatively flat ARPU slightly increasing on a constant currency basis. Advertising revenue was 35% of the total or $17.6 million, up 23.5% year-over-year or 12.2% on a sequential basis from the third quarter. On a constant currency basis we estimate advertising would have increased 25% year-over-year and 13.2% on a sequential basis. The growth was driven by an overall user growth of 14.3% and 8% ARPU growth when looking at our PC and smartphone users combined. Retail revenue represented 13% of the total or $6.4 million. This is the second quarter of material retail activity and, as a reminder, this category includes prepaid airtime and data, retail to local consumers and wholesalers. We expect retail revenue to stabilize around this level in the near-term until we explore a wider retail opportunity. The technology licensing and other category represented 10% of the total or $5.1 million, a 12.9% increase year-over-year. Our total operating expenses amounted to $37 million in the fourth quarter, which was down 1.5% from the fourth quarter of 2017. I will now focus on the five largest categories representing 89% of the totally quarterly total. Compensation expenses were $11.1 million, down 7.2% year on year. This mainly consisted of cash-based compensation expense which was $9.7 million, or up 11.2%, mainly explained by adjustments to provisions for annual bonuses. The other part, equity-based compensation, was $1.4 million compared to $3.3 million in the fourth quarter 2017. This decline was driven by a reduction in accruals related to Social Security cost of our RSUs, as well as the elevated 2017 expense since that was the first year of a new employee RSU Program. Marketing and distribution expenses declined to $8.7 million, down 32.2% year-over-year, but that was also compared to a record expense of $12.8 million in the fourth quarter of 2017. During 2018 our quarterly marketing and distribution cost has been more stable than through the quarters of 2017 with a sequential increase from Q3 to Q4 of about $1 million. Cost of revenue was $7.6 million, substantially higher than the $700,000 in the fourth quarter of 2017. $6.3 million of this was related to the retail revenue stream, meaning we obtained a small retail margin in this quarter, and $1.3 million was related to advertising revenue recognized at gross basis. Hosting cost declined to $2.5 million, down 7.1% year-over-year, really as a consequence of tight cost control. Depreciation and amortization was $2.9 million, down 31.7% following the expiration of depreciation schedules on equipment. As a result we achieved an operating profit of $13.2 million representing a 26.3% operating margin. Our net income was $11.8 million, almost double the $6.1 million we reported in the full year of 2017 obtained in this quarter alone. This all amounted to an adjusted EBITDA of $17.5 million representing a 34.9% margin and an adjusted net income of $13 million representing a 25.9% margin. With that, I will turn over to our outlook that we are giving today. You will note it consists of two parts: a baseline which is the starting point of our expectations; and then per Song Lin's remarks, our thoughts on how we can accelerate our growth even further and thereby enhance the scaling benefits of our business model, which of course leads to even stronger profitability over the long-term. Our baseline expectation for 2019 is revenue in the range of $220 million to $230 million, representing year-over-year growth of 28% to 34%. We estimate that this would generate an adjusted EBITDA of between $75 million to $82 million. The baseline adjusted EBITDA estimate is based on general and inflationary adjustments to our cost base including a comparable level of distribution and marketing costs versus 2018 with the following exception. We expect to invest an additional $10 million in our products through 2019 mainly related to the localization capabilities for Opera News and our browser value proposition for certain attractive user segments. So this $10 million is baked into the baseline adjusted EBITDA range for 2019. Turning to the first quarter of 2019, we estimate a baseline revenue of $46 million to $49 million. So this accounts for the seasonal effect on search and advertising revenue as well as an expected decline in technology licensing and other revenue to approximately $3.5 million in the first quarter 2019. So overall this revenue range corresponds to a 17% to 24% year-over-year growth versus the first quarter of 2018, or a 28% to 37% growth when excluding the technology licensing and other revenue category. Beyond the baseline we believe that we can scale our business even faster by investing more in marketing and distribution. This is true for both the browser part of our business and for scaling Opera News specifically. We are focusing first on the browsers, both because monetization is most mature here, but also because we have a unique opportunity with a very strong lineup of OEM distribution partners that we want to capitalize on. And finally as a platform for growing Opera News adoption, which we have already been very successful with to date. Compared to the baseline we expect to invest $5 million to $8 million in incremental marketing and distribution in the first quarter. As the majority of our marketing and distribution cost is immediately recognized while the impact to revenue occurs over time, we would expect to see a payback period of approximately four quarters with a $1 million to $2 million in revenue lift in Q1 relative to the baseline. So inclusive of this, our first quarter revenue guidance becomes $47 million to $51 million with an adjusted EBITDA range of $7 million to $9 million. The adjusted EBITDA range is based on our baseline adjusted EBITDA expectation, which is $12 million to $14 million, less the approximate Q1 impact of $5 million related to the incremental marketing investment net of the revenue lift in Q1. In terms of these investments beyond the first quarter and the resulting impact to the guidance of the year as a whole, we will update the market as that strategy evolves. So with that, to summarize, we are once again very pleased with a solid quarter and 2018 as a whole. And we are excited about both our existing trajectory going into 2019 and the opportunities we see to scale our business even faster. We look forward to keeping you updated on our progress as we continue to execute on our plans and ambitions. So with that I will turn it over to the operator to take questions.
Operator: Thank you [Operator Instructions] And our first question comes from Hillman Chan with Citigroup. Your line is open.
Hillman Chan: Hi, Jojo [ph] Frode and Song Lin, Zhou [ph] Congrats on solid quarter results. I have a couple of questions and the first one is about the revenue guidance for 2019 in the range of $220 million to $230 million. Is it possible that you could share more details about the breakdown by different business segments including search, advertising and retail underneath the overall topline guidance? And also, if possible, could you share more in the context of amortization levels including athono [ph] format and also inventory allocation of the existing Opera News in the browser or as a standalone app and how we go about increasing that, improving that if any in the future? Then I will have some follow-up questions. Thank you.
Frode Jacobsen: Yes, maybe I can begin with the components of that revenue range. So if we begin from the top, I would say high level on the search side we would expect to be in the approximately mid-teens. On the advertising side we would expect year-over-year rates quite comparable to what you see in Q4, which is in the low 20s. Technology licensing, we have said that now for a long time but - and we have been wrong, but we believe - again, we expect that to decline, as we indicated for Q1, about a $3.5 million expectation. We could see that decline to about half of the level that we have in 2018. Then on the newer revenue streams, we communicated that the retail we expect to be quite stable, very - through 2019, and then the new Ocash [ph] business which generated $1.9 million in Q4. We see that being on a track to hit low 20s in 2019.
Hillman Chan: Got it.
Frode Jacobsen: Then on your question on the monetization levels, I mean maybe you want to get some commentary on that.
Lin Song: Yes, I think Frode has given a good update of breakdown on the numbers. I guess I would - just briefly commenting on the ads as that's what you are asking. So, yes, as we said, to further give the estimated ads revenue incremental as what he commented, I would just maybe not formatively, but the high level is that I think we are definitely continuing to see the growth potential of that. Most of the ad revenue growth that you saw in Q4 is coming from still the ads with news inside of the browser. We are still at the very early stage of ads inside client by intention. It is more like a balance, we took in Q4 that we did start it, but we have been quite moderate in how to do it. So for instance only half of these are ads, we sold it only in a very little frequency, like maybe only 20%, 30% of the frequency that you would see on a browser. And we have also disabled demean [ph] in place, just want to be careful because we want to grow these a lot more. So high level we think we are - so that's why I think we are still in early stage. We definitely think this is continuing to grow. And - but even with that we see actually now almost quite a bit higher eCPM as what we see beyond the browser. So this is good potential; we are very optimistic about it. And also maybe a bit high level thing is that for ads, we are also - like last year we are mostly building our monetization capability, but this year I think we will expect to focus also a bit more on the direct sales by also setting up our direct sales [indiscernible] platform. And also platform allows people to come and just to deposit money and to spending money on the advertisement the same as what you would see on Facebook or Google in other countries, but of course a way with a focus on where we are strong. So, all of those initiatives we are very - I think we remain optimistic about. And we think this will give a bit - will give potential interest in growth that we see continue this year. So, it's a bit high level from I would almost say operational and - and product what we are thinking.
Hillman Chan: Got it. Thank you. And another question would be on the $10 million cost in your remark. This is mainly for localization and ability for Opera News and also Ocash outside of this original market and so on. So could you elaborate more on how we go about spending the $10 million and what exactly do - localization effort mean? Does it include establishing local editorial teams, solving news on our own, and you put out [indiscernible] So could you share more details on how we could go about spending in those only?
Frode Jacobsen: Yes, Hillman, I'll give a little bit more color on that. So the majority of the number relates to Opera News and sort of that regional capability. You are correct. There is - it is focused around establishing editorial teams and then went through a bit of markets that we are addressing and we are scaling that quite quickly. So with that - and of the 10, so then you have a meaningful part of it relating to compensation. There is, of course, also some indirect costs associated with it. Beyond that, we are staffing up with more engineering resources also on the browser side. We talk about some attractive segments where we see opportunities to create good solutions that we think will work also very well in Europe and the Western markets that on the PC side we are known for. You have also seen some indications of let's say the look and feel of Opera mobile browsers with Opera Touch on more high-end devices which we think is an interesting opportunity for the year. And then finally on Ocash, as you said, it's operating in one country now. It's doing extremely well there. We think we can scale that up and address more markets, maybe one to two new markets in 2019.
Hillman Chan: Got it. And for Ocash, do we bear any credit risk of extending those micro loans? And if that's the case, how much is our overall credit exposure and any metrics for the quality - the receivable quality that you can share?
Frode Jacobsen: Yes, for now we are not using any third-party funding office. We see loan losses of about 5% which is sort of - has been well-managed. These are loans that are very small in dollar value, very high in numbers. It was close to 300,000 loans that they did in the fourth quarter of 2018 and that is growing quickly. And our sort of capital commitment is still in the - around the mid single digit millions at the current scale, which is already profitable and self-funding in a way relatively soon we think in terms of working capital.
Hillman Chan: Got it. And do we have a KPI target that we set maybe internally that you can share as to how much you're going to grow the Ocash business in 2019?
Frode Jacobsen: What we have sort of built into our expectation is what I communicated when I gave a bit more color on the range. Of course, the team is working with aggressive targets to scale tremendously in the end of '18 and what we are seeing in both January and February this quarter. So - but that is a relatively new business to us and we want to be mindful of that.
Hillman Chan: Got it, got it. And last question from me is on OPay, so we have a 20% ownership. For that particular business 0we are impressed definitely by the fast growth design [ph] fashion volume, any that you share in the remark? Could you also share with us some more details on the cost base, the bottom line of OPay business? And we are interested to find out how we go about spending or impacting your acquired user to drive the daily cash and volume and how that will be more sustainable in the future?
Frode Jacobsen: Yes, so first of all with in OPay what we have been very mindful of is that the growth has to be - sort of you could say true and organic, meaning that we don't incentivize people by giving cash backs and similar - essentially burning money to get volume. That is not happening. While at the same time a focus has been growth and scale more than maximizing short-term revenues. So that's a bit how we have operated it. It's been sort of - I would say we could expect quarterly negative results to Opera in the range of about the $1 million at the current trajectory, maybe a bit more as they continue to focus on scaling up.
Hillman Chan: Got it, got it. Thank you very much for detail [ph].
Frode Jacobsen: Thank you, Hillman.
Operator: [Operator Instructions] And there are no other questions in the queue.
Frode Jacobsen: All right, then I think that is a wrap for this call. Thank you, everyone, for joining us today and we look forward to keeping you updated on how we progress.